Operator: Ladies and gentlemen, thank you for standing by. Welcome to Intevac’s 2007 first quarter results conference call. (Operator Instructions) Please note that this conference call is being recorded today, April 30, 2007. Kevin Fairbairn, Intevac's President and Chief Executive Officer, is hosting the call today. I would now like to turn the conference over to Mr. Fairbairn. Please go ahead, sir.
Kevin Fairbairn: Good afternoon and thank you for joining us today. With me are Charlie Eddy, our Chief Financial Officer; Luke Marusiak, our Chief Operating Officer; and Joe Pietras, our Vice President and General Manager of our Imaging division. After Charlie reads the Safe Harbor statement, I will give a progress report on our first quarter activities and then Charlie will walk you through first quarter results and talk about our expectations for 2007. We will then open up the call for questions. Charlie.
Davis Consultants Asia is a multi- disciplined consulting practice focused on business development and advisory services in the data storage industry. :
Established in 1994, and headquartered in Kuala Lumpur, Malaysia, Davis Consultants leverages many years of experience and extensive contacts throughout the industry to provide a wide range of services. These include Asia location development, joint venture development, technical & business due-diligence assessments, and buy-side investment research services tailored to our client’s specific needs. :
Our mission is to provide efficient, accurate, and timely information and advisories in the data storage industry. :
Davis Consultants Asia publishes the Data Storage News Summary® , a news aggregation service, which is distributed by email on a complimentary basis twice per week. :
Charles B. Eddy: During the course of this conference call, we will comment upon future events and make projections about the future financial performance of Intevac, including statements related to projected orders, production rates, shipments of our products, revenue, gross margin, operating expense, other income, profitability, tax rate, earnings per share, cash flow, capital expenditures, depreciation and stock-based compensation expense. We will discuss projected demand for hard drives, media manufacturing systems and upgrades, the impact of upgrading legacy tools, the transition to perpendicular recording, the transfer of production to our Singapore production facility, and product development plans. We will discuss our plans for military and commercial low-light imaging products, the expected market size for advanced night vision goggles, and anticipated orders and shipments for our imaging products. These forward-looking statements are based upon our current expectations and actual results could differ materially as a result of various risks and uncertainties, including without limitation the possibility that markets for our products may not be as large or developed as quickly as projected, that we may not be able to develop and deliver new products and technologies as planned, that orders in backlog may be cancelled, delayed or rescheduled, that we fail to achieve expected cost reductions, tax rates, or financial results, and other risk factors discussed in documents filed by us with the Securities and Exchange Commission, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The contents of this April 30th call include time-sensitive forward-looking statements that represent our projections as of the date of the call. We undertake no obligation to update the forward-looking statements made during this call. Any redistribution of this call without our express written consent is strictly prohibited. Kevin.
Kevin Fairbairn: Thank you, Charlie. We are pleased to report our first quarter results, which were at the high-end of our revenue guidance and above our gross margin and net income guidance. Revenues totaled $76 million as we delivered 13 200 Leans. We achieved GAAP net income of $9.8 million, or $0.44 per diluted share. Stock-based compensation expense of $1.4 million, equivalent to $0.04 per share, is included in our results. Our internal forecast for 2007 in the equipment business is relatively unchanged from last quarter. As in last quarter’s forecast, we continue to project limited business from our historically largest HDD customer. Accordingly, their recently announced capital spending reductions have had minimal impact on our internal projections for the balance of 2007. Pricing concerns in the traditionally slower calendar first quarter have dampened the spirits of the HDD industry, so we are being cautious with our projections for the second-half with respect to upside potential. We are driving the business with one foot on the accelerator and one on the brake so we can quickly respond to industry dynamics. In the equipment business, our operations team again executed to plan, shipping 13 200 Leans on time. Upgrade orders for legacy systems and 200 Lean perpendicular upgrades were strong and contributed significantly to our backlog. We expect further system orders shortly for Q3 based on customer requests and quotations. We continue to see customers pacing their equipment buys to the actual market. The ramp of our Singapore manufacturing facility continued on schedule with additional 200 Lean modules assembled there during the quarter. We plan to continue increasing production levels in Singapore and focus our Santa Clara operations team on the introduction of new products. While the sentiment of the hard drive market has been mixed recently, the macro trends for increased consumption of hard drives have not changed. Digital video recording, Vista related PC sales, expansion of emerging country markets, high definition TV, back-up and archiving of personal content and other great consumer related applications are all growth drivers for hard drives. Accordingly, forecasters continue to predict increasing demand for digital data and hard drives. This growth, along with the migration to perpendicular magnetic media, drives our equipment business today and indicates ongoing need for more media deposition systems, like our 200 Lean. Some customers are expanding the life of their legacy tools by using them for perpendicular production. However, this reduces the net output of the legacy tools and shrinks capacity, resulting in the need for more new tools. The impact of Intevac of these legacy upgrades is additional upgrade revenue in the short-term and a lengthening of the upgrade cycle for new equipment. In aggregate, this leads to more revenue for Intevac as the upgrades cost as much as $1 million per system. This activity has driven an increase in non-system orders for us this year. Indications from some of our customers are that the extension of life will be limited to one generation as more advanced perpendicular media designs require more process steps than are available on these legacy tools. Our engineering team is busy developing new capabilities for the 200 Lean to support future media technology improvements which cannot be accomplished, even at reduced throughputs, on our legacy systems. Our engineering team has made good progress on development of our new semiconductor equipment product. Our engagement with a leading semiconductor manufacturer has been very beneficial. This manufacturer provided us with state-of-the-art test structures and product wafers to enable us to develop and optimize our new system in-house. As a result, a great deal of the learning that traditionally happens after shipment of the first system has already occurred and we have been able to identify improvements needed to ensure this new system will have extendability for future device generations. We have chosen to make the modifications to our product now and to complete full testing and qualification of these modifications before shipment. This has delayed our first shipment but we will avoid costly retrofits in the future and it is a more timely and cost-effective way to achieve our goal of completing customer qualifications for future business. We will continue to update you on our progress. In our imaging business, we continue to execute our transition from a contract R&D based business to a product-centric business. We received export approval and delivered an initial quantity of pre-production camera modules to our NATO customer. We also received export approval for a shipment of the remaining pre-production units but the approved performance limits are too low to meet our customers’ needs. Accordingly, we submitted a request to increase the export performance limits on our camera module to a level similar to current exportable U.S. night vision sensors. Upon receipt of this approval, we will resume pre-production shipments. Working with our partner, DRS Technologies, we completed delivery of several prototypes of our next generation digital night vision goggle to the U.S. Army in March. This goggle combines the images from Intevac's low light and night vision sensor with DRS’ thermal imaging sensor. This goggle underwent several weeks of successful field testing by the U.S. Army. We submitted a proposal with DRS Technologies for the next phase of the development program, which we expect to be awarded in late Q2. In this phase, we plan to deliver goggle prototypes with enhanced performance. These will include further improvements in our night vision sensor, for which we received initial funding of $1.5 million during the first quarter from other U.S. Government sources. The first production award of the next generation digital night vision goggle for the U.S. Army is expected in 2010 and will represent about $150 million of [inaudible] years. Within our commercial imaging markets, we delivered low-volume production quantities of our near infrared MOSIR camera. We also plan to release a new MOSIR camera during Q2, which will operate in the ultraviolet and visible regions of the spectrum, allowing our customers broad spectral coverage in their applications using the MOSIR family of scientific cameras. We expect to deliver approximately 50 MOSIR cameras during 2007. We experienced strong commercial sales of Raman system products at DeltaNu, which exceed our initial expectations. Sales of existing products were strong internationally as a result of a focus on increased product distribution. During Q2, we also expect to expand our domestic distribution by establishing a U.S. direct sales staff for Intevac commercial imaging products. Charlie Eddy will now discuss the financial results. Charlie.
Charles B. Eddy: Thank you, Kevin. Consolidated Q1 revenue totaled $76 million, and included $1.4 million of flat panel technology license fees and were at the high end of our beginning-of-quarter guidance. Imaging sales of $3.9 million were a new record and consisted to $2.8 million of contract research and development and $1.1 million of product shipments. The imaging results include revenue from our new DeltaNu subsidiary, which we acquired on January 31st. First quarter consolidated gross margin of 43% was a record and above our beginning-of-quarter guidance. Equipment gross margins increased to 43% from 35% in the year-ago period. The flat panel license fee accounted for 1.9% of the gross margin increase, along with cost reduction programs, increased volume and favorable product mix. In imaging, gross margins grew to 37% from 26% in the year-ago period. Imaging gross margins benefited from higher margins on R&D contracts and $176,000 of favorable adjustments related to the quick close-out of some government contracts. First quarter operating expense of $19.7 million equaled 26% of revenues versus $11 million or 22% of revenues in the year-ago period. The increase in operating expense is mainly due to increased spending for new product development and market development and equipment, higher stock-based compensation expense, and Unaxis lawsuit costs. Expense prototype material was a significant portion of equipment R&D expenses during Q1. We are building multiple tools and based on our conservative accounting rules have written off most of the material to R&D expense. Most of the material will ultimately be used for product shipments and engineering systems. We expect material expense as a percentage of total R&D expense to decline as we go forward this year. Our 2007 estimated tax rate is 31.6%. This is an increase from 12% in 2006, which had the benefit of a substantial net operating loss carry forward. Given that we get a relatively fixed benefit from our R&D tax credits, our tax range should scale over our guidance range, from 31.6% at the upper end to 28% at the lower end. Net income for the first quarter totaled $9.8 million, or $0.44 per diluted share and included $1.4 million of stock-based compensation expense, equivalent to $0.04 a share. Order backlog totaled $92.8 million at quarter end, and includes orders for 14 200 Lean systems. We are projecting consolidated revenues of $69 million to $75 million in the second quarter, which includes 12 to 13 200 Leans. We expect second quarter gross margin of 41% to 42%, operating expense of $18.5 million to $19.5 million, and other income of approximately $1.3 million. For Q2, we are projecting earnings of $0.33 to $0.40 per diluted share, which includes an estimated $1.4 million of stock-based compensation expense, equivalent to $0.04 per share. For the full year, we are projecting revenues of $245 million to $285 million and shipment of 35 to 45 200 Leans. Our full year projection reflects a more cautious approach Kevin mentioned that we taking to the second half. Our outlook for spares and upgrades revenues has improved and offsets to some extent the reduction in 200 Lean shipments. We expect gross margins to average 42% to 43% for the full year. We expect operating expenses of $70 million to $75 million. We expect other income, primarily interest income on our cash, of $5.5 million to $6 million. In 2007 we expect between $1.25 and $1.65 of GAAP earnings per share, which includes an estimated $6.7 million of stock-based compensation expense, equivalent to $0.20 per share. Cash and investments increased to $114 million from $103 million at the beginning of the quarter, as a result of strong profits, collections and a reduction in inventory. First quarter capital spending totaled $1.9 million. First quarter depreciation and amortization, including DeltaNu purchase accounting amortization, totaled $1.1 million. For 2007, we are projecting capital spending of approximately $14 million and depreciation and amortization of approximately $6 million. Our headcount at the end of the quarter totaled 525 employees, down from 540 at the beginning of the quarter. 28% of our employees are based in Asia, 22% of our employees are contractors who primarily work in operations. This completes the formal part of our presentation. Operator, we are now ready for questions.
Operator: (Operator Instructions) Your first question comes from the line of David Bailey.
David Bailey - Goldman Sachs: Great. Thank you very much. Just a couple of quick questions, please. First, could you give us some idea of how many qualifications are underway on the semi-cap equipment side and when you expect the first customer shipment now?
Kevin Fairbairn: We have ongoing customer demos with at least three customers and some more planned. We anticipate around mid-year before we do the first shipment, based on product modifications and retesting that we are currently doing.
David Bailey - Goldman Sachs: Do you have any change in your outlook of what the potential revenue in ’08 might be from that equipment?
Kevin Fairbairn: We originally set ourselves an ’08 goal of $100 million. We have not changed that goal but it is obviously more challenging now.
David Bailey - Goldman Sachs: Okay, and then on the hard drive side, can you talk about outside of what was traditionally your largest customer, could you talk a little bit about have you seen push-outs in orders yet, or are you just being more cautious at this point?
Kevin Fairbairn: In Q1, it was all about pull-ins and accelerations, and in Q2 we are continuing to see people pushing hard to get their tools upgraded for perpendicular. So whilst the mood of the industry recently I’d say has obviously been mixed, we still see that there is a strong desire to get perpendicular capability in, so no, we have seen no push-outs.
David Bailey - Goldman Sachs: I thought you had mentioned in your prepared comments that there has been a shift with more upgrade revenue and less new systems. Did I misunderstand?
Charles B. Eddy: Well, David, we were talking about push-outs of the stuff that’s currently scheduled. For the full year, we took some of the upside out of the systems. So we reduced the full year numbers but of all the orders we have, we have not seen anything except people saying to deliver quickly.
David Bailey - Goldman Sachs: Great. Thank you.
Operator: Your next question comes from the line of Kevin Hunt.
Kevin Hunt - Thomas Weisel Partners: Thanks, a couple of questions; could you give us a couple of breakdowns on revenue? Can you tell us what DeltaNu was in the quarter? Also, a sense of what the mix within that equipment number that you reported, what was I assume the flat panel, $1.4 million was in there but what was the mix of the actual tools versus the upgrade?
Charles B. Eddy: Kevin, we are not going to continue breaking out DeltaNu numbers. I will tell you it was less than half of the product revenue, which I said was $1.1 million in imaging. Your question on equipment --
Kevin Hunt - Thomas Weisel Partners: Yes, just what the mix of that was of the various lines there.
Charles B. Eddy: Well, we had 13 200 Leans and we had probably a typical level of non-system orders but I would rather not say exactly what the level of non-system orders was. We typically haven’t reported that.
Kevin Hunt - Thomas Weisel Partners: Okay, can I follow up on the other -- I actually missed, Kevin, what you said on the product X. When will the first customer revenue then be and -- what is actually delayed, I guess is my question because I kind of missed that.
Kevin Fairbairn: We were working very closely with one of the leading edge customers and as a result of doing a lot of work on their state-of-the-art product wafers and test wafers, they helped us identify some improvements they would like to see so it would be much easier to qualify down the road for future notes. So we elected to make those changes rather than get the product out there and then change it down the road. So that’s delayed shipment by a quarter as we retest these changes.
Kevin Hunt - Thomas Weisel Partners: All right. Thank you.
Operator: Your next question comes from the line of Jesse [Vigil].
Jesse Vigil: To follow up on Kevin’s question there, can you narrow down when the first shipment might happen of product X? Is that to just one customer? What are the other two beta customers saying?
Kevin Fairbairn: The first one, we will have further meetings with them to determine what the shipment date would be. I said around mid-year, and so I cannot narrow it down anymore than that. With respect to the other customers, we are going through the initial phase of initially doing demos before we get to any commitments on beta system shipments, but we would not expect that before Q3.
Jesse Vigil: And what has the other two customers’ reaction been there to the delay?
Kevin Fairbairn: They see no delay.
Jesse Vigil: Because they don’t need the improvements that customer one is asking for, or --
Kevin Fairbairn: Correct.
Jesse Vigil: To imaging, you mentioned this $150 million potential program award there, what is your TAM out of the 150, your total adjustable market?
Kevin Fairbairn: I think if we’re successful, we would look to get 50% of that. That is the deal with have with DRS and I would assume that the DRS/Intevac design wins and then we would split the business 50-50.
Jesse Vigil: What kind of margins would you see on that? Could they be as great as your equipment margins or greater?
Joe Pietras: They would be on the order of 40%-plus.
Jesse Vigil: Can you help me out in understanding how should we model the imaging business going forward? Is this revenue and margin rate sustainable or are the development contracts fully recognized at this point?
Joe Pietras: I think the margin rate is sustainable, as we convert more into a product-based business.
Jesse Vigil: What about as it stands right now? I mean, you recognized -- it looks like you recognized an awful lot of product development contracts in the quarter.
Joe Pietras: The ones that we did recognize had margins above typical average, I would say, so as we convert to more typical project-based revenue, but as the product revenue increases, the margins will be sustainable in the mix.
Jesse Vigil: But product is what percent then of the imaging?
Joe Pietras: For the year, it will be on the order of about 35%.
Jesse Vigil: Where was it for the quarter?
Charles B. Eddy: It was $1.1 million out of the $3.9 million. Jesse, we said that we think that imaging revenues will roughly double this year off from the base of $11 million last year.
Jesse Vigil: And how about the margins on that?
Charles B. Eddy: I stand by what Joe just said, all the margins we have.
Jesse Vigil: So they come in a little bit, but as you get more product-based, they should stabilize?
Kevin Fairbairn: Well, they should go out. Jesse, our goal with our imaging products is to get gross margin per product about 50%, so as you increase the percentage of the business which is product-based, you will see the margins come up but for the projections for this year, then the number is consistent with what Joe said.
Jesse Vigil: Okay, I’ll have to come back. How much of your op-ex is for the semi-cap opportunity? Is it over 50% still?
Joe Pietras: It is roughly half our op-ex.
Jesse Vigil: And now in light of this lack of visibility there with HDDs, any chance of trimming some of the HDD op-ex?
Joe Pietras: I think what you’ll see us do, Jesse, is to the extent that the -- if the market softens up a little bit, you will probably see us align things within operations and the administrative areas. You might see us get slightly more focused on the R&D and business development, but we are going to keep the pedal down in that area because that is where the future lies.
Jesse Vigil: I will let Cooley ask about the hard drive market, but the last question is you were talking about a Gen 2, if you would, hard disk drive tool?
Kevin Fairbairn: We continue to develop new capabilities for the 200 Lean, which address the next generation technologies as well as ensure that we stay competitive. So that initial first tool probably won’t be available until Q4. We don’t anticipate any revenue sales this year.
Jesse Vigil: Thank you.
Operator: Your next question comes from the line of Nick Dion. Nick, your line is open. Your next question comes from the line of Mark Miller.
Mark Miller - Brean Murray, Carret & Co.: I just want to try to get a little better feeling for the retrofits. Where are we at in terms of are these halfway done? Are we near the end of these or they are still you are going to see revenues in X number of quarters?
Charles B. Eddy: Mark, we said that our orders and revenue expectations for spares and upgrades had gone up quarter over quarter, so we still see a lot of that in front of us.
Mark Miller - Brean Murray, Carret & Co.: I’m just wondering, just doing a quick math here, lumpiness. I know you said orders would be lumpy but certainly it looks like from want you are now projecting for Lean ships that orders this year, you are talking about 35 to 45 ships and you had a healthy backlog coming in. It looks like orders have gone down by at least 50% from where you were at last year -- correct me if I’m wrong. What’s the normalized thing we could think about for ’07? Is this too low and 2006 too high?
Charles B. Eddy: I don’t understand. We gave guidance for 2007. We said 245 to 285.
Mark Miller - Brean Murray, Carret & Co.: In terms of total ships?
Charles B. Eddy: No, we said 35 to 45.
Mark Miller - Brean Murray, Carret & Co.: Right, and like I said, you had how many since the beginning of this year, three?
Charles B. Eddy: Orders? I’m talking about shipments.
Mark Miller - Brean Murray, Carret & Co.: Right.
Charles B. Eddy: I think we’ve had three since the beginning of this year.
Mark Miller - Brean Murray, Carret & Co.: Right, and you entered with a backlog of how many? 24?
Charles B. Eddy: I think it was 25. I might be off by one.
Mark Miller - Brean Murray, Carret & Co.: So I’m just saying it looks like the orders this year seem to be -- there’s a lot of lumpiness here. I’m just wondering if this is too low to feel for 2008, and is the number you recorded, which was much higher, too high for 2006? What feeling can you give us if any?
Kevin Fairbairn: 2006 is what it is. I can’t say whether it was too high or too low. In the call today I said that we were expecting some orders shortly for Q3. We don’t anticipate getting orders for Q4 until July, early August. At that point, that would give us that visibility on the whole year.
Mark Miller - Brean Murray, Carret & Co.: Okay. Let’s just move on finally to the semiconductor tools. First couple of quarters of shipment in ’05 of your Lean tools. In fact, I think it was three quarters. Margins improved. Are we going to take a margin hit the first couple quarters on the shipments of these? Margins be higher, lower or the same? Will it affect your margin, what you are seeing now? Any feeling for that?
Kevin Fairbairn: Well, remember the 200 Lean was unique. Those first 10 200 Lean tools were manufactured all before we ever delivered the first tool. So we did not have time to shake down our material costs or our operational efficiencies. This time, it is different. We have built a couple of tools. We are shaking them out operationally so when it comes to make units for our customers, we will be further up the learning curve.
Mark Miller - Brean Murray, Carret & Co.: So you wouldn’t expect a big hit to margins the first couple of quarters you are shipping the new semiconductor tools from where you’re at now?
Kevin Fairbairn: Not to the extent we had for the 200 Lean. The margin may be down some points but not the number of points we had down with 200 Lean.
Mark Miller - Brean Murray, Carret & Co.: Thank you.
Operator: You have a follow-up question from the line of Kevin Hunt.
Kevin Hunt - Thomas Weisel Partners: Thanks. Can you actually give us the breakdown of the stock option expense by the line items, or the gross margin?
Charles B. Eddy: Kevin, the majority of the stock option expense occurs in op-ex. Probably less than 10% hits the cost of sales.
Kevin Hunt - Thomas Weisel Partners: Anymore towards R&D, or SG&A?
Charles B. Eddy: It is probably a little bit more towards SG&A.
Kevin Hunt - Thomas Weisel Partners: What should we think about -- you mentioned there were some charges in there from product X into the R&D this quarter. That sounded like they might have been kind of more like one-time type stuff thrown in there.
Charles B. Eddy: It is not one-time, but we take a pretty conservative posture on all the material that the engineers buy for putting the thing together, so we have written off just about everything that we’ve bought. A lot of that stuff that gets written off will show up in -- the initial shipments all show up in some engineering tools, so I think that just the level of material expense will probably decline a bit as we go forward.
Kevin Hunt - Thomas Weisel Partners: Okay, so this R&D number as an absolute dollar, could be more like a high watermark for the year almost? Is that the way to think about it?
Charles B. Eddy: I think it probably is.
Kevin Hunt - Thomas Weisel Partners: Thank you.
Operator: Your next question comes from Sean [Hannon].
Sean Hannon: This is Sean stepping in for Rich Cooley. If I could just ask, regarding your semiconductor product, are there specific benchmarks or statistics that you could perhaps share with us for your product versus competing products? And then how is it you are ultimately positioning this product in this context? Thank you.
Kevin Fairbairn: Okay, that is not an easy question to answer but I will take a stab at it. We developed this tool really based on a lot of the learning from both the semiconductor industry and the hard drive industry and we believed we could create a tool which had a 30% cost advantage over the systems that were out there today. The tool that we developed, as you can see, has leading edge technology capability but it is also a cost player as well. So we can address both the high-end market or we can choose to remove parts off the system, lower its costs and address the more cost-sensitive part of the market, and we will be approaching both aspects of that market.
Sean Hannon: So would it be correct to characterize this as we are looking from a product standpoint to achieve parity?
Kevin Fairbairn: No, no, it’s a superiority. A me-too product from Intevac will not succeed. We have to have a better product, both in terms of technology and in terms of cost. We believe we have done that and the feedback we are getting from customers is positive, which would also suggest that we have achieved that part of our objective.
Sean Hannon: Okay, so there’s cost advantage in terms of use by the customer, not necessarily in terms of pricing?
Kevin Fairbairn: Correct.
Sean Hannon: Thank you.
Operator: (Operator Instructions) There are no further questions at this time.
Kevin Fairbairn: Thank you for joining us today. We look forward to updating you on our next conference call on Q2 results and the outlook for the balance of 2007. Thank you. Good-bye.
Operator: This concludes today’s teleconference. You may now disconnect.